Operator: I would like to welcome everyone to the HubSpot Fourth Quarter and Full-Year 2014 Earnings Call. All line have been placed on mute to prevent any background noise. After the speakers’ remarks, there’ll be a question-and-answer session. [Operator Instructions] Thank you. Lisa Mullan, Director of Investor Relations, you may begin your conference.
Lisa Mullan: Thanks, Courtney. Good afternoon and welcome to HubSpot’s fourth quarter and full-year 2014 earnings call. Today, we’ll be discussing the results announced in our press release issued after the market closed. With me on the call this afternoon is Brian Halligan, our Chief Executive Officer and Chairman; John Kinzer, our Chief Financial Officer; and J.D. Sherman, our President and Chief Operating Officer. Before we start, I’d like to draw your attention to the Safe Harbor Statement included in the today’s press release. During the call, we will make statements related to our business that maybe considered forward-looking, including statements concerning our financial guidance for the first quarter of 2015 and the full-year of 2015, our position to execute on our growth strategy and our ability to maintain existing and acquiring new customers. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. Please refer to our cautionary language in today’s press release and to our Form 10-Q filed with the SEC on November 13, 2014. For discussion on the risks and uncertainties that could cause actual result to different materially from expectations. Finally during the course of today’s call, we will refer to certain non-GAAP financial measure. There is a reconsolidations scheduled showing GAAP versus non-GAAP results currently available on our press release announcing financial results for the fourth quarter and full-year ended September 31st, 2014 which is located on our Investor Relations website at www.hubspot.com. With that it’s my pleasure to turn the call over to HubSpot CEO and Chairman, Brian Halligan.
Brian Halligan: Thanks, Lisa and welcome everyone to our fourth quarter 2014 call. Let me start by apologizing for my voice. I’m a bit under the weather, not sure why but I might have something to do with all the snow we’ve gotten here in Boston. 2014 was big for HubSpot and our Q4 performance was a great cap to the year. We’re really pleased and really proud of the results. HubSpot had a board meeting a couple of weeks ago and we kick off our board meeting for the session we called Chairman’s remarks, so it’s the chance for me to get the broader view of what’s going on inside my head. I thought basically just reply those Chairman remarks for you today on this call. I pretty much every measure, I feel like 2014 was a great year for HubSpot. I have a hammer [ph] of pealing through amounts of data on a monthly, quarterly and yearly basis and pretty hovering numbers having in the right direction. There are few of the highlights. First, revenue growth accelerated all year. Revenue growth started 2014 at 44% in Q1 accelerating to 48% in Q2, 51% in Q3 and 53% in Q4. Next, our operating leverage improved all year. Non-GAAP operating margins in 2014 started a loss of 34% in Q1 and finished the year with a non-GAAP operating margins loss of 21% in Q4, that’s 13 percentage points of improvement through the year. Our retention rates really improved throughout the year. Our dollar retention rates have grown from the high 80s in Q1 to the high 90s in Q4. Finally, our customer acquisition machine is really cranking. Customer count started 2014 at 10,111, by the end of ’14 our customer count have grown to 13,607, 35% increase. I think much of our success in 2014 is actually a result of decisions we made in 2012 and 2013. As a great philosopher, Warren Buffett likes to say, “Someone is sitting in the shade today because someone planted a tree a long time ago.” I think that applies HubSpot 2014 results. I like to highlight some of those seeds we planted over the last couple years that cause the 2014 results to happen. The first seed was an explicit decision to make big R&D investments and become a product centric company like so of the West Coast brands we admire like Google, LinkedIn and others. When your product improves, it helps you cross virtually every metric like what is happening with HubSpot, new customer ads, attention, gross margin, operating margin et cetera are all improving at the same time. The second seed we planted was the new pricing model we put in place three years ago on our core marketing product where pricing increasing along two axis. We had addition basic pro and enterprise as our first axis and then added contact with site as a second axis. This change allowed us to align and senses over the customers and grow away alongside them. We grab other our existing customers in, so it took a while for the new models to really take effect. But we’re seeing improved overall retention rates driven especially by better up sell in a port pricing change cohort. The third seed was a go wide instead of go high decision. We made a big call to build a very broad solution for the midmarket instead of a relatively narrow solution for the enterprise. The alternative of the HubSpot is via website from one vendor, search engine optimization tools from another, social media tools from a third, marking automation tools from yet another and then sales tools from somewhere else. If you are a big company, you might be able to pull this off, but in our part of the market there is tremendous value to having all these systems together with one user interface, one login, one bill-to-pay and one number to call to get start. A great example of the midmarket company leveraging HubSpot Houston, there are Texas based companies that sells industrial and graving products and services the big, big equipment manufactures like Caterpillar and [indiscernible] all the way down to small manufacturing Fabiani [ph] shop. And Graven adopted the entire HubSpot platform the website, blog, search engine optimization, analytics suits now, in fact there also customer of our new sales tool. Since adoption HubSpot in the summer of 2013, Graven had seen their revenues increased by 85%. A lot of stories like this can’t get enough of them. Final seed was a sister decision to the widen set of high choice, geographic go-to-market strategy that was customer fit for our target market as opposed tying to shrink down the old enterprise sales model. Specifically we go to market through two channels, partners and then through direct inbound model. Our partner channels are really powerful way to reach this midmarket. We have over 2,200 partners who use HubSpot to deliver marketing serviced to their midmarket clients. In many cases, these clients are completely outsourcing their marketing through our partners. And great example of our partner I absolutely love is, SmartBug Media, they are really being growing us. They generated revenue growth 1,691% over the last three years of HubSpot. At the same time, they transform from a product based agency with typical margin to retain a based agencies with really high margins. If fact 83% of SmartBug’s revenue now comes from long term contracts as opposed to short term project work. There are up to 22 people and plan to add another 11 this year. And I love about this is that HubSpot goes to market arm and arm at 100s of first like these that help us unlock the midmarket in a uniquely powerful way. Now, those are some of the seeds we planted over the last few years. You might be asking about seed we’re planting. Today that will provide a shade in the coming years. One big one is our new sales product cycle. Still early days, we are getting excellent traction with our product. December, we had over 300,000 monthly active users. Today there is a free edition and a $10 dollar edition, you can expect us add a new more powerful version of site at a higher price point, we are not ready to talk about those details quite yet. We look forward to enjoying some shade in 2016 and 2017 from our sales products. Now before I hand to call over to John, I’d like to point on few recognitions HubSpot received in the fourth quarter. HubSpot was ranked number 15 out of all U.S. SMBs like Glassdoor and their Employee Choice Awards in 2015. And I love about this award is that is determined by own employees and not by a third part evaluation. Glassdoor to employees’ company reviews help us to heat us rest of the year. HubSpot was also recognized as the top marketing automations suite for a customer satisfaction by G2 Crowd. Like Glassdoor, this award is determined by 1,000s of our customers not by a single analyst like a [indiscernible]. G2 Crowd is just offer review as the rest [ph] of review. Now to conclude, you can see from today’s result that our business is going great. You can also see from Glassdoor and G2 Crowd’s recent awards that our employees are happy and our customers are delighted. At this time, I’d like to turn the call over to John Kinzer, who will dive deeper into our results. John?
John Kinzer:
. : HubSpot ended the quarter with 13,607 customers, up 35% year-over-year. Customer growth is coming from both our direct and partner channel as perfective customers have moved from asking what is inbound marketing to where can they buy in all in one inbound marketing and sales platform. Average subscription revenue per customer increased to $9,530 up 14% from the fourth quarter of last year. This increase continues to be primarily driven by customer’s upgrading their subscription. Revenue retention continues to improve and we achieved retention in the high 90s in the current quarter. This compares to the low 90s we saw in the third quarter of 2014. The increase was driven by strong up sells and also from improvement in customer revenue renewal rate. Renewal rates continue to benefit from improvement we have made to the product how we onboard our customers and how we support our customers. Calculated billings defined as revenue plus change in differed revenue for fourth quarter ’14 came in at $40.8 million, up 66% versus the fourth quarter of 2013. Now keep in mind, the billings growth will vary from revenue growth due to factors such as change in billing terms and based on the timing of revenue recognition versus billing. From a billing standpoint, we did see a small increase in the number of months paid upfront in the quarter, which slightly benefited calculated billings. In summary, we’re very pleased with the metrics in the quarter. As you think about how these metrics will trend going forward, please note that we had a seasonally strong fourth quarter especially for our billings and revenue retention. International was also a bright spot in the four quarter. International represented 22% of our revenue in the quarter and grew 77% year-over-year. At the end of 2014, we had over a 100 employees outside the United States and a total of 795 employees at HubSpot. Let’s now look at margins, non-GAAP operating margin continue to expand even as we continue to invest in growth coming in at just under a negative 21% for the fourth quarter. This is 11 point improvement year-over-year and a two point improvement from the 23% negative margin, we achieved in third quarter ’14 after moving the seasonal impact of inbound expenses. Turning to the balance sheet, we ended 2014 with a cash and cash equivalent balance about $123.7 million and we had no outstanding debt on our balance sheet. Our credit facility of $35 million remains undrawn. Now turning to guidance, for the first quarter 2015, total revenue is expected to be in the range $34.8 million to $35.8 million, representing year-over-year growth of 47% when using the midpoint of the forecasted range. Non-GAAP operating loss is expected to be in the range of loss of $7.9 million to $6.9 million. Non-GAAP net loss per share is expected to be in the range of $0.26 to $0.22. This assumes approximately 31.5 million basic shares outstanding. For the full year 2015, total revenues expected to be in the range of $159 million to $163 million, representing year-over-year growth of 39% when using the midpoint of the forecasted range. Non-GAAP operating loss is expected to be in the range of a loss of $36 million to $32 million. Non-GAAP net loss per share is expected to be in the range of $1.13 to $0.97. This assumes approximately 32.3 million basic shares outstanding. Finally, a couple of items to keep in mind as model out the quarter of business, as we mentioned on our third quarter call, like other companies, we experience a seasonal increasing cost during our first quarter from higher spike expenses from employee wage. Also the first quarter is two days shorter than our fourth quarter, which has a slight impact on revenue, which in turn creates a slight headwind for our average subscription revenue per customer. In addition, in the third quarter of 2015, we want higher marketing expenses associated with our Annual Inbound Conference, which expect impacts our operating margins the same as it does every year. That said, we expect to continue to see operating margin improvement throughout 2015 as you can see in our full-year 2015 guidance. And in closing, we are pleased with the sales momentum and how the businesses executing. We expect to see strong growth next year as we realize the benefit that advances our products and the leverage in the business. All said, we excited about our future. With that let me turn the call back over to Brian.
Brian Halligan: Thanks, John. To wrap up, Q4 was a solid and great year to HubSpot. As the sales are beginning, we’re really happy with trends on our every metric, accelerating revenue growth, improving margins and operating leverage and great traction sale. Going ahead and even more excited about 2015 and beyond, our marketing products are still in the early innings and growing fast in a giant market. Our sales products adjust in the top of the first inning and off to a great start. I am confident that the seeds we’re planting now are going to help us build a really great business over the long, long terms. I want to thank all of our customers and partners and especially all the HubSpotters for making 2014 such a memorable year. I look forward to even greater success to come. This time, I’ll turn the call over to our operator to just start the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Richard Davis with Canaccord. Your line is open.
Richard Davis: Hey thanks very much. So you guys kind of - the old phrases eat your own dog food so to speak, have you been able to calculate kind of how much customer additions in the year have come from your kind of inbound marketing because that would be a good referenced point for your customers and stuff like that. How do you think about that, how do you quantify and how do you help people think about that? Thanks.
Brian Halligan: Thanks, Richard. This is Brian. I apologize again for the rough voice. Just to sort of take a step back, we very much eat our own dog food here. We really match the way we market and the way our product works and our methodology that all put nicely together. And so in any given quarter, any given month let’s say, we get 40,000 plus inbound leads and we hand those inbound leads to over a 100 inside sales reps that pull them through the sales process. So almost all of our deals now are really inbound, there may be a little outbound in there but well over 90% are through our own inbound efforts that did works where a great case 34, we grew 53% last quarter and we’re great beneficiary of the inbound model in HubSpot software.
Richard Davis: Got it and that’s helpful. Thanks so much.
Operator: Your next question comes from the line of Terry Tillman with Raymond James. Your line is open.
Terry Tillman: Hey thanks for taking my questions. I guess Brian the first question is sounds like you got a cold, you get tinder to get out there and shuffle the snow.
Brian Halligan: There is five feet of it tinder buried underneath it.
Terry Tillman: Yeah, he can handle all that, okay that’s why I just get down another way. I guess the first question relates to you know in 2014, I mean there is a lot going on in the R&D side, product innovation side, that also in terms of evolving your go-to-market strategies, you brought in some season sales executives that have a lot of strong credentials and pass track record. What kind of changes that they make that may have helped in ‘14 or is that more of a forward looking opportunity in terms of some other changes in evolution that can have on the go-to-market?
Brian Halligan: So really good question, Terry. We did bring in, we brought in two very senior folks from Salesforce.com that are doing about a year ago Hunter Madeley and David McNeil. They mostly took the play book we had and have enhanced it is the way I would look at it. They come in and sort of rip the play book up and start over from scratch but they made lots of little incremental improvement last year. We put some more incremental improvements into the model this year and I think they’ll continue to do so. There is not - there wasn’t a wholesale changing go-to-market anything like that. And just to sort of refresh everyone’s memory, our go-to-market is pretty unique. We get about 40% of our new business through our reseller partner channel to vast and 69% of our business is through inbound direct business which we used inside sales people out of Boston and Dublin now a small office in Australia. And so it’s a very unique model to relative to the typical sales volume you might see. And it really works, we really - it’s really - we are getting a lot of leverage on the partner side and a lot of leverage of the direct side, those guys have added some tremendous leadership, they’ve hired well, they’ve improved the way we hire, the way we improved the metrics around the ramp up time, they’ve improved the productivity per rep and I think you can see continued good things from that but it will more incremental than radical change out of that group.
Terry Tillman: Got it. Thank you on that. And I guess John, just a question in the terms of you wrote guidance for ’15 I mean it’s materially about my estimates. Is there anything I should think about in terms of any kind of positive in your assumptions around maybe revenue retention or customer acquisition or maybe some embedding up some yearend success. Just kind of understand maybe such a drastic delta what I had and it’s a good problem I guess but I just want to get more color on assumptions maybe what’s the different?
John Kinzer: You know I see Terry, you know I don’t have access to everything you did but I mean as I think about that changed in the business I mean we did have record retention in the quarter. We are seeing great up sell rate. Brian talked about some of the seeds that were planted in the past that pricing is really working. We’re really seeing the up sell from people adding contacts through database. We’re also seeing improvements in the underlying renewal rates as well just some of things we did on the product side and support side as well. So we’re seeing that and then we had a great billing quarter you’ll see, we actually on the new sales front to Brian’s point, we’re seeing some improvement in productivity and we’re able to actually get ahead of our some of our sales hiring give that we’re a headwind that’s get back into the business. So all of that tailwind is actually coming out of 2014, that’s leading us to increase our guidance for 2015.
Terry Tillman: Okay, thank you.
Operator: Your next question comes from the line of Brendan Barnicle with Pacific Crest. Your line is open.
Brendan Barnicle: Thanks so much. Brian I want to follow backup on the improvement in the customer retention rate, you mentioned those three seeds you know we’re attributing to the growth this year. Those things that are particularly driving that or is there anything that particularly you can call that and look to that customer retention improvement?
Brian Halligan: Very good question, Brendan. There is couple of things if you want to pack that. We went from the high 80s renewal retention rates a year ago to the high 90s retention rates last quarter and past of that is improved retention on the customer level. So we’re retaining more of the customers and I represented to the customers in part of that is the up sell rate is improving. You know lot of that up sell rate you can see as we change our pricing model about 2.5 years ago, we went from a pricing model that really had one access basic pro and enterprise that you can upgrade along, we’ve always being upgrades along that access to one with two access of pricing increase basic pro and enterprise plus contact year increases. So the more contact you have in your database, the more leads you are getting, the better you are doing, the more you pay us. When I like about that the incentives are really nicely align through seeing in those new cohorts really nice increase in pricing overtime as they improved their productivity, as they grow we grow. And it’s really long both, a little bit of productivity this customer retention and a little bit of it is better up sell rates. And I think underlying both of that it’s just a products better, I look at the product today versus two years ago, it’s awesome, it is incredibly powerful, it’s easy to use, our R&D organization is really stepped up over the last couple of years and our product is just it works and that’s sort of hit the hard of it.
Brendan Barnicle: Great and John on services gross margins, I mean that almost - services almost trend breakeven this quarter, how should we be thinking about this services gross margins going forward?
John Kinzer: Yeah, Brendan you know we’ve talked about in the past you know we think ultimately we can get that to breakeven. I think we’re still a little bit away from that, we’re still incurring some cost as we move customers over from the old content management system to the new COS and that continues to run through it. But I think you should see lower losses on the services and then trending to breakeven in the coming quarters.
Brendan Barnicle: Terrific. Thanks guys.
Operator: Your next question comes from the line of Jennifer Lowe with Morgan Stanley. Your line is open.
Jennifer Lowe: Thank you. It’s been a pretty impressive trend the last few quarters with the accelerating revenue growth, accelerating customer growth and I know these things are hard to breakout discretely. But I just curious that your thoughts on how much of that acceleration is coming from metrics that you arguable have some degree of control over to extend that anyone does around the pricing model transition, improved executing in sales, your own operations moving - going more smoothly versus factors that might be a little bit market driven specifically more interest in just inbound marketing in general?
Brian Halligan: Jen it’s an excellent question. It’s okay if I’ll take that John. I think its combination to be very honest with you. In mind is four things going on that are helping us. One is the markets shuffling good, marketing the way people shop for stuff has radically changed in all of our lives here in the phone in the way markets need to market, needs to equally radically change for the next couple of year. And I would guess 3% of the companies in the world have really woken up to that reality and change the way they marketed to match that new reality and put in a marketing platform to help that. So the market is good. Secondly, the market itself is sort of crossing the case people went into and they’ve heard of us and they’ve heard of in that marketing and things are moving relatively quickly. Then more just on the executing side, there is the short terms execution, the long term execution. The short term execution John hit on some of these of thing but I think we execute really well in the last year. One other things I think we’re really good at is on a daily, weekly, monthly, quarterly, yearly basis, there is just tons of data available to anyone works inside of HubSpot and we’re data geeks, we pure over the data, we never we find a problem where we call them puddle, we just dive right in and we fix problems very early, have very good discipline around that. I think that’s helped us over the last year or two as we built our master group. We brought in new sales leadership two brand new leaders into sales, we brought in new leadership into engineering, didn’t see a hiccup with either one of those leadership transitions. We went to the IPO transition super smooth. The short term execution during the year was really good. And then some of that longer term execution, some of those bigger investments we work, we’re seeing payoff like big product investments over the three years, nice long term packaging decisions where we grandfather in our own customers and get packaging benefits from our new customers. The wide versus high strategy on the go-to-market, we built a very broad sort of growth stag platform. We help people with their website, their search, their blogging as well as marketing automation and sales and then our unique go-to-market strategy. So I think it’s a combination of markets facts that markets coming alive and I think the company has executed really well.
Jennifer Lowe: Thank you. And John just a quick for me, I mean not so quick but looking at the revenue guidance and almost 40% growth this year for calendar ’15 you know it’s certainly better than what we’ve forecasted and it seems like things moving along nicely. On the top line, looking at the operating margin guidance that suggest that form an operating loss perspective that will be more flat so expensive growing roughly consistent with the revenue side. And I am just curious where sort of the investment focus for this is going to be for you?
John Kinzer: Yeah, Jen good question. So you’ve we’ve talked a lot about the huge opportunity we have in front of us and we laid out on the road show how we look at it internally, we look at our unit economics, the lifetime value to the customer acquisition cost. And that ratio is really strong for us and it’s continued at these strong levels gotten a little better actually. So we feel, we see the returns and making these investments, so we’ll continue to invest heavily in sales and marketing given that we see those returns. At the same time to Brian’s point, we’re seeing the investments we made in R&D really play out. We made - we really improved the product and now we have opportunity to continue to build new products like we have on the sale side and some other things down the line. Obviously those are the areas we’ll invest heavily in. Having said that, we expect to margin expansion throughout the year and I’ll reiterate that we plan on being cash flow positive in early 2016. So it’s really a balancing act for us. As long as our unit economics are strong there are, we’ll continue to invest because we know the returns are there overtime.
Jennifer Lowe: Thank you.
Operator: Your next question comes from the line of Brent Thill with UBS. Your line is open.
Unidentified Analyst: Yeah, hi guys, this is [indiscernible] calling in for Brent Thill. Thanks for taking my question. So net new customer adds material acceleration from 2013, I was just wondering if there was any particular factor that was different this year than last year that played into this?
Donald Sherman: Yeah, hey this is J.D here. Couple of things on the new customer adds and obviously that impacts the overall revenue growth as well. One other things that really helps net new customers is when you retention rates get better and we saw retention rates get better all throughout the year continually better from Q1 right on through Q4, so that sort of help obviously small hole in the bucket that you have to fill in with new hires, our new customer acquisition. And then secondly, we’ve just done a great job on customer acquisition in the sales channel. We’ve seen really great customer acquisition cost there that sort of stayed where we like to see it and then that sort the range where we’re comfortable, so we’ve added a lot of lot of sales reps and that’s help drive our customer retention, our customer acquisition. Also as Brian talked about a little bit, there is a bit of a tailwind in the marketplace. We’re seeing customer sort of they come into the funnel, they know it’s already, it’s less about explaining how and that market works and why they might even consider that type of approach and more about showing them how they can grow their business with HubSpot and how we can help and so that’s been a real positive. I think Q4 was an exceptional quarter, great execution on our product and the sales teams product as well as services team, but also we probably got some tailwinds there with, you know we had the IPO tailwind, we just had our awesome Inbound Conference with 10,000 people there. So there is a little bit of tail - you know year-end tailwinds even in the midmarket you get some of that. So I think we probably had some sort of unfair tailwinds in Q4 but overall I feel really good about the traction we’ve got in there.
Unidentified Analyst: Great and just one more quick one, are you guys seeing any change in the size of prospects is SMBs still kind of the sweet spot of you guys seeing more interest from midmarket or larger parts of your prospects?
Brian Halligan: You take that J.D.
Donald Sherman: Yeah, sure. Pretty much we’re still seeing roughly the same size of prospects. You know we’re really focused on that midmarket and that’s a great market for us. Our go-to-market strategy is geared towards going after than segment of the market. We have an inside sales force that targets inbound leads that come to us largely from midmarket companies between 20 and 2,000 employees and we have an awesome partner channel that goes - that helps us recap to those midmarket customer. So that’s really our sweet spot. We haven’t seen dramatic change in that at all. We have our ARPU go up overtime but that’s mostly driven by the upgrades and the up sells that we’ve gotten into in our install base. As Brian mentioned, we’ve changed the pricing model and that we’ve kind of grown into that model and we started to have additional things to - additional product to sell into those customer. So I would say the short answer is, no, we’re not really seeing a big change there.
Unidentified Analyst: Great, thanks a lot guys.
Donald Sherman: Sure.
Operator: [Operator Instructions] Your next question comes from the line of Mark Murphy with JP Morgan. Your line is open.
Mark Murphy: Yes, thank you very much. John, I wanted to ask you, how would you model the spread between customer growth and revenue growth going forwards, it was almost at 20 point spread this quarter favorable on the revenue side. Just I am curious at a high level, how are you balancing your efforts between new customer acquisition and up sell activity and how do you think this is going to net out going forward?
John Kinzer: Yeah, so Mark, as we’ve looked at recently, we’ve been growing customers anywhere from 30% to 35% of quarter over the last four quarters. At the same time, the size of our customers have been - has been growing in the mid-teens. So I still expect the customer growth throughout pace the install base growth or the size of the customers. There is ton of opportunity out there to continue to add customers not just in the U.S. but as we go internationally as well. Longer term, there is an opportunity to build new products and add new things that we can sell back into that base. But right now, we’ll continue to really add the new customers and then up sell those customers once they come in.
Mark Murphy: Okay and as a follow-up, Brian, I wanted to ask you, in terms of the sales platform, do you have any feeling for the ultimate tax rate of uptick rate of sidekick in free CRM. Do you have a feeling that you have provided any material uplift in terms of your ARPU which did rise pretty nicely this quarter?
Brian Halligan: No, not a big material uplift on that. When I think sidekick that we started before the CRM, really excited about it. We feel like we can build a hyper growth startup inside of HubSpot there, we’re really excited about 300,000 monthly active users of that last month, super, super excited about it. We’re testing out some new features under new price point. If you search around you can see some of the test going on there but some tests going on new price point is that cleared all version and ten all version are playing with some higher price version. That can get really big, I am super excited about sidekick, it’s very really innings, getting great, great, great tracking. The CRM came along little later, it’s still in beta. We’re only opening up beta up to our existing customers as a few thousand in there. The receptions been very, very good, they are very happy with it. We’re really targeting that CRM with that CRM product non-consumers that CRM. So if I look at our install base, most of our customers don’t have CRM system today, so for those folks that are using and they are really happy with it so far. Stay tuned to this channel for more news on CRM, packaging in CRM and when we’ll open it up to non-existing customers of ours, but it’s very exciting early, early innings of both those stories and hopefully we’re sitting in the shade of those stories in ’16, ’17 and ’18.
Donald Sherman: Yeah, I would just quickly on that, that we’re really thinking about that sidekick business as kind of almost like a totally different business, we’re building a different type of model for that product driven premium model. It’s even interesting how we’ve run team inside a HubSpot, we kind of card that whole team out, we gave them their own part of the office and they are kind of cracking away. So it’s - I think we’re still in the early stages of that where we’re trying to build that funnel and trying to build sort of the users of that product rather than heavily thinking about cross selling into the install base.
Mark Murphy: So J.D. just building off of that you have this becoming a broader platform company, so the concept of rather going up the triangle into the enterprise arena trying to go to the right and into new product areas such as sales. And so I am just curious maybe what are you latest thoughts in terms of how far you can ultimately move in that direction maybe what might be on the drawing board after sales whether it’s service or some other area?
Brian Halligan: Okay, I’ll take, it’s Brian. You know our initial observation like John mentioned it’s sort of company with - it’s a very simple observation, humans radically changing the way they shop and buy stuff. And our first chapter of it was boy, marketers need to change the way they market and that’s the way people shop. And the chapter two is what people need to change the way they felt and that’s the way people buy. And we’re so, so early into that second chapter that it’s too early to talk about chapter three. We’re really locked into the first two chapters of that book before we start taking about chapter three. Really excited about where we are today, super, super early about to be thinking about that.
Mark Murphy: Thank you.
Operator: There are no further questions at this time, I will turn the call back to the presenters for closing remarks.
Brian Halligan: Hey can I make one more comment, is it okay Lisa.
Lisa Mullan: Yeah.
Brian Halligan: Okay, sorry, we have our Inbound Conference, [indiscernible]. Our Inbound Conference is great. Last year we had 10,000 partners and customers there and this year since September 8th to 11th I love everyone on the call if you get a chance to register for that and come. I think you’d really enjoy it, a really good peak inside the way HubSpot works and have the community around HubSpot works. I think it will be a great use of your time.
Lisa Mullan: I can think about that. Thanks everyone for joining our call and we look forward to seeing many of you at the upcoming conferences. Have a good night.
Operator: This concludes today’s conference call. You may now disconnect.